Operator: Good day, ladies and gentlemen and welcome to the Schnitzer Steel Industries Third Quarter Fiscal 2014 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions). As a reminder, this call is being recorded. I would now like to turn the conference over to Alexandra Deignan. Ma'am, you may begin.
Alexandra Deignan: Thank you. Good morning, everyone. I'm Alexandra Deignan, the company's Vice President of Investor Relations. Welcome to Schnitzer Steel's third quarter fiscal 2014 earnings presentation. We're glad you're able to join us today. In addition to today's audio comments, we have prepared a set of slides that you can access on our website at www.schnitzersteel.com or www.schn.com. Before we get started, let me call your attention to the detailed Safe Harbor statements on Slide 2, which are also included in our press release of today and in the company's most recent Form 10-K and Form 10-Q, which will be filed later today. These statements in summary say that in spite of management's good faith, current opinions on various forward-looking matters, circumstances can change and not everything we think will happen always happens. Please note that we will be discussing some non-GAAP measures during our presentation today. We have included a reconciliation of those metrics to GAAP in the Appendix to our slide presentation. Now, let me turn the call over to Tamara Lundgren, our Chief Executive Officer. She will host the call today with Richard Peach, our Chief Financial Officer.
Tamara Lundgren: Good morning, everyone, and thank you for joining us on our third quarter earnings call. We appreciate your interest in our company. Before I begin my formal remarks on our performance, I'd first like to thank everyone on the Schnitzer team for another quarter of excellent safety results. Your continuously improving safety performance has occurred while we have experienced increased volumes in APB and SMB and while we have continued to deliver on our productivity initiatives in MRB and across our entire operating platform. So I want to acknowledge and thank each of you for your continued commitment to working safely and working together to serve our customers, our communities and our shareholders. This morning, I will review the highlights of our consolidated performance, comment on market trends and update you on the most recent results from our productivity and cost reduction programs and our progress on our strategic priorities. Then Richard will provide further details on our financial results and the operating performance of our three segments. After that, we'll open up the call for questions. So let's now turn to Slide 4 and we'll get started. Earlier this morning, we announced adjusted earnings per share of $0.16 for our third quarter, which reflected improved demand in both our Steel Manufacturing and Auto Parts businesses and steady volumes in our Metals Recycling business but weaker commodity prices than we saw in the second quarter. The following trajectory of commodity price has led to a significant adverse impact from average inventory accounting versus the second quarter, and that more than offset the Q3 increase in volumes in SMB and APB and the benefits from our productivity and cost reduction programs. However, our focus on generating positive cash metal spreads and our focus on disciplined cost and working capital management enabled us to deliver another quarter of strong operating cash flow. In our Metals Recycling business, our sales volumes were generally consistent with what we delivered in the second quarter. We saw steady demand for both ferrous and nonferrous metals although the end market mix deferred from what we saw in Q2 as domestic sales and exports off the East Coast both increased significantly. Ferrous prices for shipments early in the quarter dropped from peak levels in the second quarter before partially recovering and staying within about a 3% to 5% price range for the balance of the quarter, the $0.10 negative average inventory impact we absorbed in the Q3 versus Q2 more than offset the reduction in SG&A and in other costs we were able to achieve in MRB during the quarter. Both our Auto Parts and Steel Manufacturing businesses delivered sequential improvements. In our Steel Manufacturing business, steadily higher seasonal construction activity and increasing nonresidential construction demand on the West Coast resulted in another quarter of sequentially higher profits. During Q3 our steel metal reached a 72% capacity utilization rate which is our highest level since 2008 reflecting strengthening demand for our finished steel products. In our Auto Parts business retail sales rebounded after a harsh winter and car purchase volumes reached record levels. APB's third quarter operating margins improved sequentially by approximately 200 basis points to 8%. While this was below where we had guided in May, the difference was primarily due to timing of shipments, lower nonferrous revenues per car and increased labor due to higher volumes that occurred towards the end of the quarter. Our results this quarter also included some significant tax benefits which Richard will describe in more detail later in our presentation. So now let's turn to Slide 5 for a review of market trends. The narrative on the U.S. and the global economy continues to reflect a positive although not a steep trajectory even as GDP statistics are revised downward. In the U.S., early indications of economic improvement are visible. Unemployment appears to be improving. The automotive and energy industries are fueling broader market growth and interest rates are expected to remain low. The key lever for the prospective growth of the global economy is a combination of improving growth prospects in the U.S. and Europe without further major issues developing in China or in the emerging markets. Trends in industrial production are also showing marked improvement. Both GDP and IT trends support the outlook of steadily increasing demand for steel. Steel is currently being produced at record levels and the outlook is for finished steel output to continue to increase into 2015 and beyond. As more steel is produced, more scrap will be consumed. Today, ex-China, almost 50% of world steel production comes from electric arc furnaces. In the U.S., the number is 60%. Although in China only 10% of its steel is produced in electric arc furnaces, 10% means about 70 million tons which is higher than what is currently being produced in EAF nodes in the U.S. And China's usage of scrap in basic oxygen furnaces is significantly below that of the U.S. China's premier Li has continued to reaffirm China's commitment to reduce pollution as the cornerstone of their country's social and economic policies. Consistent with that is the statement in China's 12th five-year plan to increase annual scrap usage by 5% which based on today's current production translates to an additional 35 million tons of scrap demand. As China's war against pollution gains traction, we therefore expect that their demand for scrap will rise significantly and be filled by a combination of domestic and imported materials. It is these trends and statistics that underpin the demand side of the scrap equation and the long-term fundamentals for the industry. If we turn to Slide 6, we can take a look at supply trends. A number of leading indicators for scrap generation are showing strength and we have just begun to see some of this strength reflected in a slowly improving increase in supply. Auto production and increased appliance sales have shown improving levels, both are important as they provide a significant source of feedstock to the scrap industry. In addition, the Architectural Billings Index improved noticeably in May reflecting an increase in architectural design activity after two months of declining levels. May marks the highest reading in eight months which should eventually lead to improved levels of nonresidential construction. All these signs are encouraging and can serve to offset margin compression in the future as these are the fundamental trends that can drive increased scrap flows. So now, let's turn to Slide 7. As you can see on this graph which represents general market selling prices, there is export prices dropped at the start of the quarter before partially recovering towards the end of the quarter. Domestic prices began the quarter higher than export prices but toward the end of the quarter driven by stronger spring scrap flows, domestic prices softened and reached equilibrium with export prices. In June we saw some downward pressure on domestic prices as the overhang of shred which was generated after the harsh winter was absorbed by the market. This overhang has now pretty much disappeared. Both the East Coast and the West Coast export markets improved during June and reached parity with the domestic market. So now, let's turn to Slide 8 to take a look at our shipments during the quarter. Ferrous sales during Q3 were in line sequentially, driven by an increase in exports off the East Coast and higher domestic shipments. Our domestic sales were up 5% sequentially and exports off the East Coast increased by 24%. Exports off the West Coast were in line with the sales levels we saw in the first quarter. During the third quarter, we shipped our ferrous and nonferrous products to 16 countries. Our top ferrous export destinations were Turkey, Egypt and Malaysia. Our top nonferrous customers continue to be in China, the U.S. and South Korea. As you can see on the bar chart on the right, we shipped higher volumes into the domestic market in the first nine months of fiscal '14 as compared to the prior year. Including shipments to our own steel mill, in fiscal '14 year-to-date, domestic shipments represent one-third of our total ferrous volumes, up 16% versus the same period in fiscal '13. Our ability to flex our domestic and export shipments to take advantage of the strongest markets at any point in time reflects the nimbleness of our platform, our extensive customer relationships and our transportation and logistics expertise. Now, let's turn to Slide 9 and let me take a final moment to touch on our strategic priorities before I turn the call over to Richard for more details on the quarterly performance. As we have articulated in the past, our three major strategic initiatives are focused on productivity improvements, accelerating returns on our major capital investments and generating synergies between our Auto Parts and Metals Recycling businesses to increase profitable scrap supply. We are currently implementing a $40 million productivity improvement in cost reduction program and we expect to achieve 70% of these savings by the end of fiscal 2014 with the remainder by the end of fiscal 2015. Our pace is on target and we have delivered nearly $20 million in cost reductions in the first nine months of fiscal '14. Our third quarter results included $9 million of savings with the majority of the benefits generated in our Metals Recycling business and the bulk of the remainder attributable to SMB. We have also commenced the productivity initiative within our Auto Parts business which we anticipate will benefit fiscal 2015 through a combination of revenue enhancements and store level efficiency measures across the entire APB platform. In Canada we are seeing a steady trend of improving operational performance. Our Canadian ferrous sales are up over 7% versus fiscal '13 and our nonferrous sales have increased by 30%. We expect that by year end the bulk of our initiatives will be fully executed in this region enabling higher contributions as we move forward. Finally, as I noted last quarter, we are already generating benefits from our focus on integrating our purchasing and selling activities for both ferrous and nonferrous materials, increasing synergies between MRB and APB through combining resources and leveraging our assets to maximize returns from processing scrap and cores. As APB continues to leverage the growth inherent in its new store expansion over the last two years, we will continue to benefit from increased supply flows to our Metals Recycling operations as well as higher retail activity. So now, let me turn it over to Richard for an update on our operating segment performance and our capital structure.
Richard Peach: Thank you, Tamara. I'll start with our Metals Recycling business on Slide 10. As mentioned earlier, our ferrous volumes were in line sequentially despite the sharp decline in selling prices for shipments early in the third quarter. Maintaining our volumes in these market conditions reflected our business platform which enables us to export off the East and West Coast or sell domestically wherever our margin opportunities are the greatest. Average ferrous selling prices were $346, down $19 or 5% compared to the second quarter. This reduction in average prices was not as much as the peak to trough drop because we took some sales orders before the fall in the export market and made domestic shipments at relatively higher prices. While nonferrous market conditions were also weaker during the third quarter, our forward sales strategy allowed us to avoid the dips in the market while keeping average nonferrous steel prices in line with the second quarter as well as increasing our volumes by 2% sequentially. MRB operating income in the third quarter was $4 million or $4 per ton which represented a sequential decrease of $7 per ton. When prices fell, we reduced the cash purchase prices for scrap but the average inventory cost lagged on the way down creating a negative accounting impact. Compared to a positive effect in the second quarter, this created an adverse sequential change of $10 per ton, which was by far the major reason for the low third quarter results. However, we partially offset this with additional productivity improvements which contributed an extra $2 per ton compared to the second quarter. Now standing back, falling ferrous and nonferrous steel prices over the past year has masked the benefits of productivity initiatives which are included within our significant cost savings. Of the $20 million consolidated savings year-to-date, $15 million of that is within MRB. On that note, over half is visible in MRB's SG&A expense which for the year-to-date is $9 million less than last year, a reduction of 13%. The remainder is in MRB's cost to goods sold which includes a combination of raw material costs and production expenses. Although we do not separate out of these two categories, a good indicator of overall savings is that we achieved a 12% reduction in MRB headcount over the past 12 months. Now turning to Slide 11, I'll move on to review our Auto Parts business. As expected, Auto Parts experienced a strong seasonal uplift in retail sales which together with higher car volumes more than offset the effects of a lower commodity price environment. Car purchase volumes of 90,000 represented a quarterly record and was a sequential increase of 15%. The operating margin of 8% was also a sequential increase of approximately 200 basis points and was driven by the higher car volumes and the seasonally higher activity through our network of retail stores. Although the sequential performance was up, the operating margin percent was less than our guidance due to a roughly equal combination of timing of shipments, lower nonferrous revenues per car and higher labor costs associated with processing the additional car volumes. The new productivity project in Auto Parts includes a focus on labor operating efficiency and on nonferrous yields per car both of which we anticipate will produce future benefits. Now moving to the Steel Manufacturing business, please turn to Slide 12. Improved West Coast demand led to SMB steel volumes of 135,000 tons representing a third quarter record since 2008, an increase of 17% sequentially and 8% year-to-date. SMB's third quarter utilization rate of 72% was also the highest since the market peaked in 2008. Average net sales prices of $686 per ton were up slightly from the second quarter driven mainly by the improved demand. Operating income of $5 million reflected the benefits from higher sales volumes and from productivity initiatives that we implemented earlier. The benefits from these productivity initiatives can be clearly seen in the operating income of $10 million year-to-date which is more than double last year even though sales volumes were up by 8% in the same period. Now turning to Slide 13, I'll summarize our cash flow, net debt and taxes. In the third quarter, our positive EBITDA was the main contributor to operating cash flow of $27 million leading to a year-to-date total of $73 million. This was our sixth consecutive quarter of positive operating cash flow and we are trending towards another strong full year outcome. The key driver of this positive trend is our robust business model which puts an emphasis on maximizing positive cash spreads between sales and purchase prices together with a culture of disciplined management of working capital. We invested $8 million in CapEx during the third quarter which was spent on maintaining the business and environmental and safety projects. For the year-to-date, our CapEx is $29 million and we anticipate no more than $40 million for the fiscal year as a whole. This is less than half the level of last fiscal year and the main difference being lower growth related CapEx as we completed our major equipment installations in Canada and Puerto Rico during fiscal '13. The combination of positive operating cash flow and lower levels of investment enabled us to reduce our net debt leverage ratio to 31%. Now turning to tax, our third quarter results included just over $2 million of discrete tax benefits related to tax basis adjustments to certain fixed assets. These tax benefits represented $0.08 of our third quarter earnings per share and appear in both our adjusted and reported results. As the mix of our actual operating results included a greater than expected contribution from foreign tax jurisdictions, this changed the tax rate in our reported results and reduced additional tax benefits compared to our guidance. But note, these additional tax benefits are not applicable to our adjusted results. Finally, our full year tax rate for fiscal 2014 is anticipated to be approximately 29%. Now, I'd like to turn the presentation back over to Tamara for her summary remarks.
Tamara Lundgren: Thank you, Richard. Demand for steel and scrap is trending higher driven by the recovering construction and industrial sectors as well as by the robust automotive and energy markets. Our own steel mill has begun to demonstrate strong leverage for the domestic market recovery and we believe each of our businesses will similarly benefit as broad economic factors continue to improve. Our focus is on operational excellence and continuous improvement on our productivity initiatives, on improving returns from our previous investments and on driving synergistic growth between our Auto Parts and Metals Recycling businesses. Our ability to generate strong operating cash flow enables us to execute on our balanced capital strategy which is directed to both investments in our business and return of capital to our shareholders. I'd again like to thank everyone on Schnitzer team for your ability to respond nimbly and quickly to these challenging markets and for your contributions to making our company a safe and productive place to work each and every day. So, operator, let's open up the call for questions but I understand from my team that we have six minutes left before kickoff for the World Cup U.S./Germany match. So if any of you on the phone have to drop off, we understand and Richard and Ally will be available later today and tomorrow for follow up. So operator, let's open up the call and see if anybody is left on the line.
Operator: (Operator Instructions). Our first question is from Brent Thielman of D.A. Davidson. You may begin.
Brent Thielman - D.A. Davidson: Hi. Good morning.
Tamara Lundgren: Good morning, Brent.
Brent Thielman - D.A. Davidson: Tamara, utilization at the steel mill; nice healthy increase here from last year. As you look at the order books or other internal measures, is this trend looking sustainable into the summer?
Tamara Lundgren: It is. We're seeing that our customers are having stronger order books and we're feeling very good about the sustainable and positive trajectory of the demand curve.
Brent Thielman - D.A. Davidson: Okay. And then on the scrap side, could you provide some insight in terms of what you're seeing for bulk freight rates? I know one of the major indexes has been under pressure this year. Just curious what you're seeing there?
Tamara Lundgren: Yes, bulk freight levels have been stable to trending slightly downward, but as you know for our export business it's essentially a pass-through.
Brent Thielman - D.A. Davidson: Right, okay. And then as we're coming up on year-end here, could you comment on capital spending initiatives for next year or should we sort of anticipate something similar to fiscal '14?
Tamara Lundgren: Well, we'll talk about that at our October call but right now we don't have big growth projects on the board, so it should be similar and we'll continue to invest in technology for our nonferrous extraction and in growth projects for APB. So it should be similar.
Brent Thielman - D.A. Davidson: Okay. Thank you.
Tamara Lundgren: Thank you.
Operator: Thank you. Our next question is from Sal Tharani of Goldman Sachs. You may begin.
Tamara Lundgren: Good morning, Sal
Sal Tharani - Goldman Sachs: Good morning. How are you?
Tamara Lundgren: Fine, thank you.
Sal Tharani - Goldman Sachs: I want to ask a question, maybe Richard can answer me, is about the inventory accounting impact. I mean you are in a business where you always have a lag between the inventory and in orders and shipping, and scrap never stays stable. It will either go up or down. And I was wondering are you internally looking at or should we look at it that we add or subtract this number every quarter to just get a net effect or is it just you report so that we have an idea but you really don't adjust internally that number for your way of thinking of what the profitability of the business is?
Richard Peach: We do adjust the results for the average inventory accounting because it is part of our standard calculation. However, what we do, Sal, is focus on a transparent reconciliation of our Metals Recycling results. As we said in this quarter compared to quarter two, we had a $10 negative impact now. That was a combination of two factors. One was that we had a sharp drop in prices at the start of the quarter, so in this quarter we had a negative effect. In the previous quarter, in quarter two, we actually had a positive. So the main effect of the two was $10. Looking at our absolute results for quarter two and our absolute results for quarter three, the size of the positive in the second quarter and the size of the negative in the third quarter were all roughly equal proportions.
Sal Tharani - Goldman Sachs: Got you. So in the end it balances out if you look at over a longer period of time…?
Richard Peach: Yes, it does. When the market is stable there shouldn't be any difference between the cash purchase prices for scrap and the average inventory costs. This feature of negative or positive effects is directly related to the volatility in the market. So if the market in the fourth quarter is stable, we should see a flat effect in the fourth quarter which relative to the third quarter would be a small upside because the third quarter has a negative.
Sal Tharani - Goldman Sachs: Great. And Tamara, one question on the scrap prices versus iron ore. There was an industry conference last week and there were a bunch of presentations. And to my surprise the scrap guys were a little more bullish that even if the iron ore goes towards 80 and stays there, scrap has bottomed, it cannot go further down. I always thought that scrap is an iron unit and if that doesn't happen then you are putting minimals at a structural disadvantage forever. Now I know that in your case it's not the price, the spread mostly works on and you made more money at a lower scrap price but how do you feel about this relationship between scrap and iron ore?
Tamara Lundgren: Well, you're right. Scrap at the end of the day is a spread business, but fundamentally and we've gotten a fair number of questions on this is, is the scrap/iron ore ratio has happened before and it wasn't that long ago when this ratio differential in the spot market that people were talking about at the conference last week occurred, I think it was September of 2012, you saw the same scrap ratio that you're seeing in the spot market right now between iron ore and scrap. And yes, I do believe that the correction will be in iron ore because at the levels where iron ore is right now, it is more likely than not that they can't stay at these very low levels before capacity comes out of the market at which point you would expect to see and the historical ratio shows that it comes back into what is the more normal scrap/iron ore ratio. But at the end of the day, Sal, scrap is holding up because it's in tighter supply than iron ore and it's a necessary raw material for 60% of U.S. production and 50% of world production ex-China and 30% of world production including China. So if it's in tighter supply it's going to hold up against iron ore which looks to be in an oversupply situation.
Sal Tharani - Goldman Sachs: Great. Thank you very much.
Tamara Lundgren: Thanks.
Operator: Thank you. Our next question is from Timna Tanners of Bank of America. You may begin.
Timna Tanners - Bank of America Merrill Lynch: Hi. I know I'm competing with the soccer match but thank you for taking my question.
Tamara Lundgren: Not a problem.
Timna Tanners - Bank of America Merrill Lynch: So just a bunch of things I wanted to run through just for clarification for nothing else. If you were to see everything the same into the fourth quarter you should anticipate what, a $14 EBIT per ton in your scrap business in MRB?
Richard Peach: No, I don't think that's the way to look at it because the $10 average inventory effect is sequential between quarter two which has an upside and quarter three that had a negative of roughly equal proportions. So if it were the flat market in the fourth quarter, yes there would be upside but it would be in the range of up to half of the sequential effect.
Timna Tanners - Bank of America Merrill Lynch: I see, okay. Thank you for clarifying that. All right. And then I guess I wanted to just understand on the APB – I know you're not giving guidance here, but you talked about a big improvement which you had already guided to so we expected that. But as you point out the margin was lighter than what you had guided to and I think I understood some of the reasons but they don't seem like short-term reasons. They seem like more complicated than one quarter. So if we think about going forward, does that mean that the margin should be kind of more similar to this May quarter or do we think 9% to 10% is that number to aspire to?
Richard Peach: Yes. I think that near-term and longer term matters at play here. Firstly, on the near term the reason that the actual operating margin was less than what we had guided was down to three roughly equal components. One was – a part of it was about timing of shipments, a part was low nonferrous revenues per car and a part of it was just higher labor costs than we had expected due to processing of high car volumes. Even though the volumes were high, you are correct, the operating margin was still in single digits and the reason for that is really twofold. One is that ferrous and nonferrous commodity prices are still relatively weak and over half of Auto Parts revenues comes from sales of scrap and of nonferrous materials. And the second thing is that despite the higher volumes and there is still relatively tight supply situation which impact on car costs, but I would point to two factors that will help going forward. One will be – or three factors that will help going forward. One will be as commodity prices improve, we will get a benefit. Secondly, as supply conditions continue to loosen that will help us expand the margins. And the third is our new productivity initiative in Auto Parts. So, we have not announced any targets for that yet and it's not in our '14 OEM target, but that's going to have a significant focus on labor operating efficiency and on our nonferrous yields per car. So, we do expect some benefits out of that. So, we do see a good three reasons going forward why our margins will get back into double digits.
Timna Tanners - Bank of America Merrill Lynch: Okay, that's helpful. So that's more of a medium term versus a short term it sounded like, no?
Richard Peach: Yes.
Timna Tanners - Bank of America Merrill Lynch: Okay, thank you. And I just wanted to ask two more. So as you pointed out, margins are tight on – but nonferrous you said still being low priced, but we are definitely seeing aluminum prices and stainless prices improving. So I kind of wanted to understand how will Schnitzer respond or how can Schnitzer benefit maybe from some of this nonferrous pricing improvement if at all?
Tamara Lundgren: Well, we do benefit. We are a full service nonferrous platform, so we deal with the mix metals. Zorba, copper, aluminum and stainless are primary products with aluminum being a big proportion of it. Obviously, a lot of different grades of aluminum used for lots of different products but this is a part of our business that we have been growing very consistently and we will continue to grow in order to participate.
Timna Tanners - Bank of America Merrill Lynch: Okay. And then finally your comments on the war on pollution are not new, I get it. The scrap used in China was something that came out years ago in their five-year plan. So I was kind of trying to understand is there something that's driving you to talk about those factors boosting Chinese demand that's new, because if anything Chinese consumption of scrap has actually declined over the last several years. Are you seeing anything to reverse that trend in your recent dialogue with your customers over there, or is there something driving that commentary? Thanks.
Tamara Lundgren: Sure. Well, first of all I'm not sure that China's use of scrap has declined over the past few years. They have continued to increase their use of scrap in EAF, their rate of growth of blast furnaces has further increased, but I'm not sure that I agree with the underline premise that they're utilizing less scrap. They arbitrage, they're in and out of the market, but they continue to push on making environmental improvements a priority or cornerstone for their policies. So it takes a while for it to translate but I think their usage of scrap continues to grow and I think that we'll continue to see that. I mean they haven't been a big buyer out of the U.S. but they have imported I think over 1 million tons in the first four, five months of this year. So they're still using scrap but they arbitrage it.
Timna Tanners - Bank of America Merrill Lynch: Okay. I just wondered why the Chinese consumption from the U.S. has steadily declined over the last couple of years. That's what I was referring to, but you're saying they buy it elsewhere, I guess, right?
Tamara Lundgren: That's correct. That's correct. There is currency and freight at play.
Timna Tanners - Bank of America Merrill Lynch: Okay, great. Thank you.
Operator: Thank you. (Operator Instructions). Our next question is from Luke Folta of Jefferies. You may begin.
Luke Folta - Jefferies: Hello.
Tamara Lundgren: Hi, Luke. How are you?
Luke Folta - Jefferies: Good. I was planning on giving you guys a hard time on costs but Richard already anticipated my question and broke it out in the prepared remarks, so thanks for that.
Tamara Lundgren: We're trying to get you to the World Cup.
Luke Folta - Jefferies: I understand. It sounds like for the most part the cost – you're making progress on the cost side but the spreads and just what's going on with pricing is more than offset so far this year. So just to be clear though, 20 million in total savings so far achieved, how much of that is SG&A?
Richard Peach: Of the 20 million so far just under half of that is SG&A and the main component of that is in MRB. As you can see as I mentioned the first nine months of fiscal '14, the MRB SG&A is 9 million less than it was last year for the same period and then was just over half of it in the cost of goods sold.
Luke Folta - Jefferies: Okay, I'll be just quick with one last one. On the CapEx side, I know you didn't want to give guidance per se into next year. But to the extent that you do invest in some – for the nonferrous sorting technology or other things, if you did some of that next year would that result in a higher number or were you saying that you could spend about what you're spending this year and invest in some of those things? And that's it.
Tamara Lundgren: Basically in the range. I mean what I was trying to make a differentiation about is the big capital investments that you saw us undertake in '12 and '13 are not on the board for '15 and we'll give more precise guidance in our October call.
Luke Folta - Jefferies: Okay. Thank you.
Tamara Lundgren: Thank you.
Richard Peach: Thank you.
Operator: Thank you. I'm showing no further questions at this time. I would like to turn the conference back over to Tamara Lundgren for closing remarks.
Tamara Lundgren: Thank you very much for joining us on our call today. As I had mentioned earlier, Richard and Ally will be available for follow up later today. And we look forward to speaking with all of you again in October when we announce our fourth quarter and fiscal year end results. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day.